Operator: Ladies and gentlemen, good morning, and welcome to the Analyst Conference Call on the Third Quarter 2023 Results of Ahold Delhaize. Please note that this call is being webcast and recorded. Please note that in today's call, forward-looking statements may be made. All statements other than statements of historical facts may be forward-looking statements. Such statements may involve known and unknown risks and uncertainties that could cause actual results, performance or events to differ materially from those included in the statements. Such risks and uncertainties are discussed in the interim report third quarter 2023 and also in Ahold Delhaize's public filings and other disclosures. Ahold Delhaize disclosures are available on aholddelhaize.com. Forward-looking statements reflect the current views of Ahold Delhaize's management and assumptions based on information currently available to Ahold Delhaize's management. Forward-looking statements speak only as of the date they are made and Ahold Delhaize does not assume any obligation to update such statements, as such statements except as required by law. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time, I would like to hand the call over to JP O'Meara, Senior Vice President, Head of Investor Relations. Please go ahead, JP.
JP O’Meara: Thank you, Sharon, and good morning, everybody. I'm delighted to welcome you to our Q3 2023 results conference call. On today's call are Frans Muller, our President and CEO; and Jolanda Poots-Bijl, our CFO. After a brief presentation, we will open the call for questions. In case you haven't seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our website, aholddelhaize.com which provides extra disclosures and details for your convenience. To ensure everyone has the opportunity to get their questions answered today, I ask that you initially limit yourself to 2 questions. If you have further questions, then feel free to reenter the queue. To ensure ease of speaking, all growth rates mentioned in today's prepared remarks will be at constant exchange rates unless otherwise stated. And with that, I hand over to Frans.
Frans Muller: Yes. Thank you very much, JP, and good morning, everyone. Of course, a special welcome to Jolanda, who is joining our first quarterly call as CFO of Ahold Delhaize. Jolanda has been on an extensive induction program that started in August and officially start -- officially assumed CFO role on October 1. She will share some thoughts and take you through the financials in a few moments. As we head into the busy holiday season for our customers and associates, it's a good time to reflect on the environment we are operating in as well as the important strategic and operational choices we are taking to drive long-term value creation. No doubt, times continue to be turbulent. The war in Ukraine already last almost 2 years. And in the Middle East, we are facing another war between Israel and Hamas. In our markets, we also see first and some of the strategies of the current political and social climate. On October 25, the city of Lewiston in the State of Maine, Hannaford's home state experienced one of the darkest moments in its history, the mass shooting to the lives of 18 people and injured many more. We unfortunately know that mass shootings have become more frequent in the U.S. but this incident is particularly chilling because such events are unprecedented in Maine. Our thoughts are with our colleagues in Maine and everybody in Lewiston, who will be dealing with this tragedy for a long time. Reflecting on business trends, many of the ones I outlined during our last quarterly call, indeed materialized as expected. While inflation has passed its peak, customers' household budgets remain under pressure as many of them are also experiencing higher interest rates, and in the case of the U.S., declining federal and state government assistance. With our strong portfolio of brands, we grew comparable store sales by 3.1% in the third quarter. We delivered an underlying operating margin of 3.8% and diluted underlying EPS of €0.58. While both these metrics are lower year-over-year from a margin perspective, around half of the decline is linked to insurance-related adjustments with the other half resulting from lower margins in the U.S. which Jolanda will discuss in a few moments. Our formula for success, therefore, has continued to play an important role. First of all, being agile and adaptable to meet and exceed customer needs. Secondly, embracing transformation in an operating model; and third, continuing to advance our sustainability agenda. Today, I'm going to focus on the second point, embracing transformation. Here, there are 4 important moves I would like to highlight, each also underpinning our strong disciplined focus on value creation. The first is the announcement of the planned addition of local Romanian supermarket chain Profi to our family, subject to approval from the regulatory authorities, densing up existing markets is a tried and tested strategy of ours, where we have a proven track record of delivering highly accretive returns in a short space of time. This acquisition will more than double the size of Ahold Delhaize existing Romanian business, which operates under the Mega Image brand and has 969 stores, predominantly in urban areas. Profi operates 1,654 stores, mainly in rural areas and generated roughly €2.5 billion in sales for the 12 months ended 2023. Strong format fit and complement the propositions between the Profi and Mega Image brands will allow them to better serve the Romanian customer, driving both sales and profitability. The combination with Profi is expected to be sales growth and EBIT margin accretive post synergies and integration to Ahold Delhaize Europe and EPS accretive to Ahold Delhaize as a group in the first year after closing. The implied fully synergized acquisition multiple is approximately 7x on June 2023 last 12-month EBITDA basis, and that is imposed IFRS 16 number. Secondly, we thoroughly believe our strength lies in the seamless mix of in-store and online shopping and that in our omnichannel strategy. To assess where we stand in this changing environment, we have done a thorough review and analysis as part of our Accelerate initiative. As customers' shopping preferences evolve in the U.S., one of the concrete outcomes is to orient our online fulfillment capabilities towards more efficient, less asset-intense same-day delivery models such as click and collect. This has already led to the decision earlier this year to close the U.S. Jersey City and hand over fulfillment centers and focus on pick from stores and third-party partners. Based on the economics of the omnichannel business model and return on investment we are striving for divesting FreshDirect is an additional outcome of this analysis. This will enable us to focus on growth and investments in our broader-based omnichannel businesses, where we have strong store density and online presence, leading market shares and a long-standing heritage of loyalty and deep relationships with customers. We believe Getir and pioneer in the tech industry and the ultrafast online grocery delivery business is the right company to carry FreshDirect forward. FreshDirect has been a trusted brand in the New York City area for more than 20 years, knowing for delivering the highest quality, freshest food and deeply loyal customers who are passionate about the brand. We expect this legacy to continue under the new owner. The third, in Belgium, the Delhaize team continues to make excellent progress on the execution of its future plan. Today, Delhaize has announced that it signed agreements on 51 of its integrated stores to independent entrepreneurs of which the first 12 stores have already opened their doors under the new entrepreneurs as of last Friday and with a further 3 planned stores for conversions this week. I'm also pleased to report that impacts of Belgium on our Q3 results were rather minimal with the market delivering positive comparable store sales and having only a minor 20 basis points impact on European sales and 10 basis point impact on European margins. Fourth, as you know, we have a long and strong track record of working hard with suppliers to mitigate price increases and to swiftly reflect the price decreases where possible, ensuring our customers have access to affordable and healthy options. Ensuring we continue to provide fuel for our long-term save for our customer program is another area where we invest time and energy and to help tackle persistent price differences between European markets, Ahold Delhaize has joined the European Retail Alliance joint venture, Eurelec, which is a collaboration with REWE Group and the Eurelec Company. This is in addition to our already existing memberships in the AMS and Coopernic buying alliances. But with this specific partnership, we aim to promote open and fair price negotiations with the largest FMCG brands across Europe, which ultimately benefits our customers. In the end, we owe to our customers to keep our foods affordable, especially during these challenging times. Speaking about things that are important to customers, let me spend a brief moment on health and sustainability. This area remains a priority for our brands with several examples from the quarter on Slide 11. Albert Heijn and bol were featured in a mini documentary powered by Kickstart AI. Albert Heijn explained how they are using artificial intelligence to reduce food waste using demand forecasting. This is a great proof point of how they use innovation and technology to combine the reduction of food waste with providing customers access to affordable and healthy products, while at the same time, reducing cost. bol demonstrated how to use automatic packaging machines controlled by smart algorithms to ensure the use of less cardboard and smaller parcels. We also use AI to see if additional packaging is actually needed, and this results in less transparent movements and the use of smaller, more sustainable vehicles like the back couriers of Cycloon. Looking at reducing carbon emissions, every initiative, big and small accounts. For example, the Delhaize and French fast charging provider Electra have plugged in the first 6 of a planned 1,200 fast charging points. Food Lion, Hannaford and The GIANT company were recognized for the programs to reduce emissions from the refrigerant systems. So as you can see, we have been very active over the past month, and I'm particularly excited by the building blocks for the future growth we are putting in place. More on that later. But let me now hand over to Jolanda to share your remarks on the financials.
Jolanda Poots-Bijl: Thank you so much, Frans, and good morning to everyone. I'm excited to be here and look forward to engaging with you in the years ahead. As Frans mentioned earlier, I had the pleasure to start in the middle of August with an extensive 6-week induction program. This gave me the opportunity to dive into our business and visit almost all of our great local brands and more importantly, many of our wonderful associates across the company. I'm impressed by the dedication and passion of my colleagues, the agility in managing dynamic times and the pride in the strong results our business continues to deliver. We are a true people for people business that's well positioned in the heart of our society. Now let's go into our Q3 numbers and the key highlights on Slide 13. Our net sales grew with 2.9% to €21.9 billion. This was mainly driven by the strong comparable sales growth in Europe 7% and continued market share gains in our most important markets. Group underlying operating margin was 3.8% for Q3. A decrease of 60 basis points versus last year, about half of which was related to insurance and interest-related changes. From an operational perspective, I'm proud of the work of our great local brands to limit the impact of cost inflation through the safer customer program and additional accelerate initiatives which helped to offset a large portion of these higher costs. Diluted underlying earnings per share for the quarter were €0.58, down 17.1% at actual rates. 2/3 of which relates to unfavorable exchange rate and the one-off items I already mentioned. Slide 14 shows our results on an IFRS reported basis for Q3. Our group operating income was €625 million, representing an IFRS reported operating margin of 2.9% mainly impacted by €153 million impairment charge for FreshDirect, mainly related to revaluations of next-day delivery equipment and buildings and €61 million in restructuring and related costs pertaining to Belgium and other Accelerate initiatives. On Slide 15, you see comparable sales growth by region, including and excluding weather, calendar and other effects. These had a limited impact in the quarter. In the U.S., Hurricane Ian was a 40 basis point headwind which was offset by 20 basis points from calendar and 10 basis points from over the year. In Europe, the Belgium transformation had a minor impact of 20 basis points in the quarter. To share more detail on these developments, let's now turn to our regional performance. Slide 16. In the U.S., excluding the impact of weather and calendar shifts, comparable sales grew by 1%. The reported net sales were €13.6 billion. Online sales in the segment were up 4.4%, driven primarily by double-digit growth at Food Lion and Hannaford as they continue to invest in their omnichannel proposition. Two key highlights of the quarter were Food Lions 44 consecutive quarter of comparable store sales growth as well as overall strong growth in omnichannel customers, which increased 8% compared to a year ago. The reduction in emergency federal SNAP benefits higher interest rates and the resumption of student loan repayments in October continue to weigh on customer sentiment. On its own, the reduction in SNAP benefits resulted in approximately 4 percentage point headwind to sales growth in the third quarter. We were able to offset a large portion of this headwind through our strong value propositions and the ongoing momentum in online sales. And underlying operating margin in the U.S. was 4.2%, down 80 basis points from the prior year. This was due to the cycling of an insurance reserve release in the prior year that was 30 basis points favorable. Wage inflation, an increase in shrink and the unfavorable effect of a change in sales mix. The increase in shrink is a result of the current economic conditions and rise in social tensions, which is a real concern for both the safety of our associates and our customers. We are deploying additional solutions in stores, including upgraded camera systems, self-checkout monitoring anti [push out] grocery cards and in-store live surveillance to counter this negative trend. With the help of the measures we are putting in place through our Accelerate initiatives, in-store actions to reduce shrink and further volume support incentives from vendors, we expect this modest margin pressure to be transitory and pass in a couple of quarters. Turning now to Europe on Slide 17. Sales increased by 7.1%, resulting in net sales of €8.3 billion. When looking at Europe, which has enjoyed a lot of pressure in the last 2 years, I'm confident we're on the path to recovery, particularly on returning margins in the region to their historical averages. While inflation is also moderating in Europe, our major efforts to elevate and harmonize our customer value proposition also saw accelerated comparable sales growth compared to Q2 with volume improvement also playing an important role. Underlying operating margin in Europe was 3.5%, consistent with prior year. The impact of the Belgium transformation, energy and wage inflation in many of our markets were offset by strong cost control. The successful execution of the Save for Our Customer program and the decrease in noncash service charges for the Dutch employee pension plan. To be consistent with prior quarter, Belgium and energy impacted the Q3 margin by around 15 basis points. In the Netherlands, all the time and bol had outstanding market share gains. At all the time, AH Premium is now approaching 900,000 members and the brand launched the AH Terra own brand with around 200 plant-based products. We're also delighted to have completed the conversion of the first 15 Jan Linder stores to Albert Heijn in Q3. On Slide 19, turning to bol. We saw healthy growth rates again in Q3 as gross merchandise value was €1.3 billion, an increase of 6.5% compared to the prior year and we continue to see very strong growth in our highly profitable new service areas with advertising services up almost 50% and logistic offerings up of 20% compared to last year. I expect growth to continue at a good pace over the remainder of the year with bol well set up to gain further share during the holiday period. Moving on to our free cash flow. Q3 free cash flow was €512 million, up from €133 million in the prior year. The major increase in working capital year-over-year reflects the SAP S/4 HANA to go live in the U.S. last time. The optimization of netting processes and SAP were normalized by the end of Q4 '22. So expect the counter effects of this change in the upcoming Q4. Excluding this timing impact, we nonetheless see good progress on underlying working capital in both regions, and we will continue to look for further opportunities as we leverage our scale, supply chain transformation and new data capabilities through AI and machine learning. To this end, on Slide 21, we also need to ensure we maintain a good base in modernizing our infrastructure to support our online channel growth. We're a well-invested company, and we will be rigorous and disciplined in executing large-scale projects. During the quarter, we moved forward on many projects in Europe, including Albert Heijn's newly opened and technologically advanced mechanized Home Shop Center in [indiscernible] powered by Swisslog the new center will use 300 robots to collect nonperishable products, making the work easier for our associates. bol recently opened its second warehouse for extra large items such as trampolines, TVs and arcades a category with significant untapped market share potential. In Belgium, while a lot of focus this year has been on the transformation plan, there has also been diligently preparing for further growth online, building a new e-commerce center slated for early autumn of '24. Finally, in the CEE region, we plan to go live with our first Home Shop Center at Mega Image in Romania in the coming weeks. In this instance, applying the successful Albertine e-commerce model. In the U.S., our brands continue to update and modernize the local store networks and e-commerce platforms. For example, Food Lion launched omni-channel remodels in 47 stores in greenfield, North Carolina with sales so far exceeding expectations. We continue to invest in PRISM, our own propriety e-commerce platform. because it's our own platform, we fully own the customer digital experience and the first-party customer data, which provides a unique opportunity for us to continue to learn about our customers and make changes to meet their needs. In summary, our strong and consistent financial performance gives us a great platform to unlock the many growth opportunities we see on the journey ahead. Optimizing and nurturing Ahold Delhaize long-term value creation will be one of our top priorities. I look forward to the opportunity to meeting many of you all in person in the coming months. With that, I'd like to pass to Frans for our outlook.
Frans Muller: Thank you very much, Jolanda. As we approach the halfway point of our Leading Together 2025 ambitions. We are on track and in many cases, ahead of our ambitions. A lot has changed since we embarked on our Leading Together journey. Rest assured, our leadership team, which is now back to its full complement with Jolanda has the energy and determination to keep this trajectory going. Taking stock of what we have learned so far, we are currently refreshing our priorities to calibrate to the macro and competitive environment. This will require some shifts in focus, but I also believe this will lead to faster growth rates and higher ROIs. For example, we will double down on our customer value proposition and our clearly winning omnichannel model, just to take a few proof points for the U.S.. Online traffic, was up 19% in Q3, including sessions with purchase intent also up 19% year-over-year. Omnichannel customers are most profitable customers grew by over 8% year-over-year in Q3. And long-term customer retention remains strong. Of the first time, online shoppers during the peak of COVID in the second quarter of 2020, 66% were still active shoppers online or in-store with us in the third quarter of 2023. With this strong pivot to digitally driven customers in our model, and there are also many European examples I could have used here as well. With that, I see tremendous opportunities to build further on our complementary revenue streams. In 2023, from a capacity and capability perspective, we had made solid ground and put in place best-in-class solutions to really accelerate growth. Together with the ad tech company adhese, of which we acquired a 25% stake last year, the European team reached their first major milestone with the expansion of the self-service platform to include display campaigns on ah.nl and in the Albert Heijn app. Simultaneously, in the U.S., advertisers can now reach our 44 million customers, all from 1 platform. And just recently, our U.S. AD retail media ranked the fifth best overall U.S. retail media network and score the #2 position in the area of omnichannel sales data. These are just a few examples to reiterate our excitement about the opportunities that are ahead of us, and I'm looking forward to sharing more on these and others at our Strategy Day in May 2024 in the Netherlands. In the meantime, you can continue to count on us to leverage our scale and position as market leaders, work closely with suppliers to mitigate price increases and doing our homework, managing our costs and investments. As a responsible company, we will also continue to take action and create future focused plans to tackle the challenges of climate change and sustainability. In terms of the 2023 outlook, we are updating as follows: we now expect free cash flow for 2023 in a range from €2.2 billion to €2.4 billion reflecting the ongoing strong operating cash flows and improvements made by our brands in working capital management. Net capital expenditures are now expected to be around €2.4 billion. And underlying EPS is now expected to be slightly below 2022 levels as we see the reduction in federal government support having a more negative impact than we originally expected. In addition, we remain committed to our underlying operating margin of at least 4% for 2023 to our dividend policy and our share buyback program as we previously stated. We're also announcing today a new €1 billion share buyback program to start at the beginning of 2024. Thank you for your continued interest in our company. And operator, please open the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of Andrew Gwynn from BNP Paribas.
Andrew Gwynn: Two questions, if I can. So firstly, the expectation is that there's a couple of difficult quarters to come. So just to clarify, you mean sort of Q4, Q1 rather than already including Q3 in that. I was sort of attached to that, is it really just down to external factors? Or is there anything within the business that we should have in mind? So that's the sort of first question. I appreciate the part. And then second question, to think about FreshDirect, it's not really been part of the group for very long. So just help us understand the decision to sell it.
Frans Muller: I have asked Jolanda to answer the first part of your first question. The second thing, Andrew, and thank you for your questions here. I think we've called out a couple of topics on external factors. We have a good trend in Europe on our margin profile. You know that historically, we have 4 plus margin profile and we have now a slightly better trend in Europe. But of course, the Europeans are doing a good job here, and we see a positive trend also going into the next year. Let's not forget, we have external factors, which you might call the Ukrainian war, and therefore, energy-related elements. There are some commodity topics, which keep us busy with the war in the Ukraine. But the good news is there in Europe that we are trending very well with our project in Delhaize in Belgium. We are running according to plan. And also our brands, if it is the Netherlands, as we mentioned already, bol.com, I must say, in the meantime, with the new brand name and Albert Heijn are trending very well and are gaining share. I think also there, we will have to see positive momentum in the second half of 2024 also through Profi in Romania. On the U.S. on external factors, I think the SNAP reduction effect on sales, the 400 basis points came in higher than we expected earlier. We were counting roughly on a 2% sales impact and we see now a 4% sales impact. So that was a negative when the emergency SNAP disappeared. And like Jolanda already mentioned, we see also the consumer now as from October let's say, with the next time burden on the student loans, which have to be repaid after pausing for quite some time. On the U.S. margin, there are no external effects as such, apart from the fact that we have one-offs in the insurance release from last year, 30 basis points, and we have a shrink number which is partly also driven by theft and a different type of culture of 20 basis points. Before Jolanda will answer the first part of your question, let's go to FreshDirect. You're right that we did acquire FreshDirect not that long ago. And we did a review of our total online omnichannel business lately. We see that customers' behavior changed quite a bit during and coming out of COVID and we see that customers are very excited about our omnichannel, our store brands plus online proposition. You see also that there is a shift in the timeliness of our total fulfillment where it used to be 5 years ago, only next-day delivery. We see a very different profiling here with Click and Collect but also same day. So having done that review, we looked at our fulfillment options in the U.S.. That's why we took the decision to close next year our Jersey City facility, which is also a next-day facility. We are closing down Hannaford in Maryland and D.C. and we'll bring the volumes to Manassas in the same market and also in that total review, we also took the decision to sell FreshDirect for the same reason. And those are not easy decisions, as you can imagine. But I think that is the right decision going forward based on customer behaviors, based on our omnichannel online strategy, changing customer behavior since COVID, but we also wanted to make sure that the new owner of Getir here is a solid owner also not only for the customers of FreshDirect in a brand, which is 20 years there in the New York market, the New York City market, but also that for our employees, there is a good new employer available. That on FreshDirect, that on the review and the reasoning and that on the logic on a different fulfillment model for changing customer behaviors over here to you, Jolanda.
Jolanda Poots-Bijl: Thank you, Frans. Yes. Well, as you all know, we don't give any guidance referring to next year. But we think it's transitory indeed -- because as we shared, as Frans also said, part of that margin decrease that we experienced in this quarter is cycling and insurance released last year. So our one-off effects. We are investing in growth. So we will count on the volume and growth to be restored. And we also have a large, say, for our customers' program and additional accelerate initiatives to offset any burden and pressure we feel on the margin currently.
Operator: We will now go to our next question. And your next question comes from the line of Nick Coulter from Citi.
Nick Coulter: Well, 2, if I may, please. Firstly, I know there will be a month lag, but could you talk to the trend in recent monthly periods for your U.S. volume market shares by banner, please. It's obviously quite hard to discern your relative volume performance or competitors given price and mix and then secondly, I guess coming back to Andrew's second question. Could you update on your journey towards online channel profitability? Clearly, from the slides, you're working with a number of partners, including Autostore with Blue Robots. But it also seems like you're consolidating your fulfillment centers and moving away from same day from your comments. So just to understand how your thoughts are evolving in the context of driving the economics would be helpful, please.
Frans Muller: Yes. Thank you, Nick. And I understand your question on volume because when I just focus for the moment on the U.S. markets, we said last quarter already that it's very important for both us and the CPG companies to get those positive volumes back into our system. We see an inflation coming down quite heavily in the U.S. CPI in the Northeast of roughly 2% at the moment. And we see also that in the last weeks, we see also that at least 2 of our brands get into positive volume territory. So that's good news. We see also that for the CPG companies, they also say, hey, for us, also volumes are important to be positive. So we see an increased investment in our brands. We see investment trade funds and promotional money coming into our business to boost the volumes. On market shares, I think you know that the Nielsen companies for the U.S. well after the quarter. So we don't have those numbers yet. So we work with proxies partly based from IRI, and we think that we see in our key markets, market share gains. I can't do for you the metrics for the total East Coast, but in the second quarter, for example, we gained 50 basis points, 5-0 basis points of market share gain on the East Coast. And we think that also in the third quarter in our key markets, we did pretty well, and we are quite competitive there.
Nick Coulter: There's a volume market share gains. Are they sort of you reference?
Frans Muller: Those are nominal market share gains in dollars. And I think to have volume, market share gains, although we don't report on these kind of things and also Nielsen is almost not reporting on this. That will take a little bit more time I think we have a sort of lagging investment in trade funds from suppliers is growing now, but it will take a little bit of time. On e-commerce profitability, we have a target to get e-commerce fully loaded, profitable. And we're on the right trajectory and also in that light, where the first priority is to grow customers share our wallet in an omnichannel fashion, so stores plus online, that is our first priority to grow those customers because those customers are bigger for us and also more profitable that within that ambition, we still would like to make sure that our e-commerce as such, from a fulfillment perspective also gets more cost efficient. That's why we automate more. That's why we moved more to click and collect with 1,400 stores in our U.S. network, which is more profitable, but a very much highly adopted fulfillment methodology for our customer base. And that's why we also work partly with third-party, gig providers to deal with the part of our delivery sales. So e-comm is getting more profitable earning and you said something like moving away from same day. I think that is not what we can support. We're moving away a little bit from next-day delivery company operated. So that we move away from. That's why you see FreshDirect, Jersey and Hannaford, what I mentioned before, but same day and faster delivery from our store network, Click and Collect and this kind of thing, that is a trend now and that's also more economical for us. So it will bring a positive contribution to the overall profitability of the segment and also e-commerce in itself as a fulfillment silo.
Nick Coulter: That's very helpful. Just 1 quick one, if I may, just on the level of FreshDirect sales just to help us with our models, please?
Frans Muller: Yes. You know that we don't comment on these kind of things on individual brands, but directionally $700 million. In the New York priced area.
Operator: And your next question comes from the line of William Woods from Bernstein.
William Woods: Just to follow up on your U.S. like-for-like and the impact on SNAP. I think you said you had a 2-point headwind in Q2. I think you forecast that would be low single digit in H2, and you've now seen 4 points in Q3. I suppose why is it worse than you expected? And is it different to different brands? And to build on that, -- is there -- how do you disaggregate the effect of snack versus just being too expensive relative to peers and losing customers? And then the second one is, obviously, you're cutting CapEx and increasing your free cash flow guidance, why do you think now is the right time to do this? And where are you pulling most of that CapEx from? Is it U.S. or improvements? Or is it bol.com investments?
Frans Muller: Thank you, William Jolanda will comment on the CapEx question you have. I will briefly come back to Snap. It's not so easy to predict government policies on these kind of nutritional support programs. But we made an assessment last time with a 2% and that emergency SNAP, which was the SNAP on top of the normal running programs have impacted us more than we expected. And I think we are not the only one in this field. So that's why we see an impact of 4 percentage points on our sales numbers from SNAP and it means for roughly for customers and $100 per household less. And that is, of course, real money for people who have already in a lower income base. So from 2% to 4%, that is yet a bigger impact than we expected originally when we last time gave you the 2% assessment.
Jolanda Poots-Bijl: And the other question on the CapEx. Well, if you look at the story we shared as an introduction, we are clearly investing in our future. We think that's really important. We are a well invested company, and we plan to remain so. So if you look at the CapEx reduction guidance that was reduced, that's the net CapEx. So from a gross CapEx perspective, we're not reducing our investments, it's the disposals that is driving that lower guidance. The increase in free cash flow is really related largely to our working capital improvements.
William Woods: I was just going to follow up on the SNAP question. Is it that you're losing the less affluent consumer or is it that they're just spending less with you and you think that spend is going somewhere else? Are you losing them completely or just getting lower share in the basket basically.
Frans Muller: Let me give you the example of, for example, something like Food Lion. Food Lion has in its demography and customer base and relatively higher SNAP share. But we don't lose those customers. Those customers are within the store and make different choices. That's partly for -- and that with a lower SNAP budget steps have not of course, not the only budget they have to spend on groceries. But we see that they within the store, make different choices and mainly also to buy a higher share of their sales in private label. And that whole private label trend that own brands share, we see that everywhere going up in the U.S. and in Europe. So customers make different choices. And the Food Lion, lower Snap budget has an impact on customers. But Food Lion is able to mitigate this both in private label and the total customer value proposition and Food Lion has been and will be also 1 of those brands with a strong comparable sales growth and market share gain. And this is how we try to mitigate that. And one quick thing on CapEx and Jolanda was completely right with her analysis. But don't forget, with our roughly 3% over sales CapEx, we are high in the industry. So we are fully invested and fully modernized brands and sometimes people forget that this is a high priority for now, but also for the future.
Operator: And your next question comes from the line of Izabel Dobreva from Morgan Stanley.
Izabel Dobreva: I had a question around your outlook for U.S. sales growth. You called out the SNAP impact, but I was wondering, considering the path of food inflation or disinflation as well as the volume trajectory from the various components. Do you think it's realistic that the like-for-likes can stay above 0 over the next 2 to 3 quarters? Or should we now be thinking about a small negative, so like a minus 1, minus 1.5 type of like-for-like as we head into Q1? And then my second question is on the Romanian acquisition. I saw that you mentioned the Mega Image but within that, could you give us some color on what you are assuming regarding synergies. And also, in general, why did you decide to pursue M&A and lever up the balance sheet, given where interest rates are? I saw that you've taken a revolving credit line and why not increase the buyback instead?
Frans Muller: Izabel, thank you. Let me take that last thing on Profi and I would like to ask Jolanda to give a few things more on what we expect on inflation and on sales rates for the U.S.. On Profi, have a look at our balance sheet. I mean we have a very strong balance sheet, which is therefore also a great instrument to improve our market positions. And you know that we have in all the markets, the strategy to be #1 to in those markets. And with this acquisition in Romania, we're exactly doing that. So it's completely on strategy on a relatively big market in Europe, on a market which is growing GDP and also a very complementary brand to our Mega Image brand. So on strategy, strong markets, GDP growth. And if you look at the growth numbers of both our Profi and Mega Image brands, those are all double-digit growth numbers, so attractive markets. And what we always said is that although our free cash flow guidance is a number without M&A, we also -- and our CapEx numbers is a number without M&A I think we have a very strong reason to do so. We serve at the same time, and we showed it later on that we are also confirming our dividend payout ratio policy. We have a €1 billion share buyback this year, but also for 2024 we have a strong balance sheet where we have very strong ratings with BBB+ and BAA1. So also there, we kept to this kind of investment-grade rating. So from a rating perspective, from servicing all our commercial things like CapEx and dealing with our investments but also investments not only in stores but also investment in sustainability. After all these kind of things, we still have room to also have a strong share buyback and strategically do the right thing by strengthening our business with Profi. So that is the whole thing. And you have seen with Profi it has not a big impact on our total balance sheet nor on our ratings. So -- and it has to do with a strong balance sheet and Profi, very good acquisition, but relatively moderate in line with our total balance sheet.
Jolanda Poots-Bijl: And the first part of your question around U.S. and sales growth. Well, we are optimistic for the holiday season ahead of us. And the trend we see so far in this period is that we are consistent with Q3.
Frans Muller: And the last question, I think, Izabel was also on synergies on Profi Mega Image. We gave you the multiple as an indication synergized multiple. We are now in the phase that we brought the file forwards to the authorities for approval and we are just taking these kind of things first before we come back to that. And I hope that goes fast with the European and Romanian authorities and there's another beautiful item to talk about during our Strategy Day in May, and then we give a much fuller update. We know more than -- we have also a better view on timing when we might expect those approvals.
Operator: And your next question comes from the line of Robert Jan Vos from ABN AMRO Research.
Robert Jan Vos: Yes I have a few follow-up questions. from Jolanda's. Comment on CapEx. I understood that the delta of €100 million roughly is related to disposals and not so much the gross CapEx. Should we conclude from that, that this data roughly represents the cash proceeds you expect from FreshDirect. And related to that, are those proceeds included in your new free cash flow target? That's my first question. And I also have a follow-up on the Romanian acquisition. If you talk about 7x EBITDA post IFRS 16, I assume that you then also refer to the EV of €1.8 billion and not to the €1.3 million, which is excluding IFRS 16. Can you confirm that? And yes, did I understood correctly that you are not willing to give any kind of quantification of these synergies that you assume for this acquisition? Those are my questions.
Frans Muller: Yes. Thank you, Robert Jan. You are correct that we do not give at this stage further details about synergies and these kind of elements are a few more things to talk about. We are very excited about this acquisition because it gives a leading position, complementarity synergies are very respectful. And we also have very good managers on both sides of strong management teams. And you are correct. The numbers I called you out are also based on the €1.8 billion, as you already indicated. CapEx, Jolanda rather.
Jolanda Poots-Bijl: Yes, Robert. Thank you for the question. We don't disclose any more details on the FreshDirect than was included in the press release. So in the press release, you can see that in Q3, we had an impairment taken on in our numbers. And in the subsequent event paragraph, we disclosed that we expect a loss to be taken in the Q4 numbers between €275 million and €325 million to be taken. So the disposal we refer to in the CapEx that was not related to FreshDirect.
Robert Jan Vos: Okay. But maybe can you confirm that there will be positive cash proceeds? And is it included in the free cash flow target that was raised?
Jolanda Poots-Bijl: We can't give any disclosures on that. So we have to refer to the press release and the subsequent paragraph at #14, the last paragraph of our press release.
Frans Muller: But to give you a little bit a flavor here, we do not expect from this cash transaction and positive effect on our free cash flow -- our free cash flow is a very clean number.
Jolanda Poots-Bijl: Exactly. Maybe that helps. The definition of our free cash flow doesn't include divestments or investments. So it's not in that number.
Frans Muller: Free cash flow without M&A overturn.
Operator: And your next question comes from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Really, a couple both on U.S. given the sort of magnitude of surprise clearly, investors and as all seeing today. Can you spend a bit more time maybe talking about -- is there anything else beyond what we discussed so far, particularly your price positions by banner and Frans. And also talk to anything that's changing in terms of market share trends there as well? Related question is, I know the year has changed quite a lot from Q1 when we saw or certainly some investors thought you are overearning. Now have gone the other way around.
Operator: Apologies, Sreedhar your line is very quiet. Would you be able to speak up a little bit?
Sreedhar Mahamkali: Yes, sorry about that. So listen, I think really the question was given the magnitude of surprise today on the U.S., can you spend a bit more time as in -- is there anything going on beyond what we've discussed so far? Can you perhaps elaborate a little bit around price positions, talk a little bit about market share, you give us a reassurance that it isn't a market share related issue. And again, then building on from there, margins, Frans, clearly, I think in Q2, you were thinking about stable margins in the second half in the U.S. But clearly, that's not been the outcome. Can you give us some reassurance that the margin picture with the self-help you have is improving into Q4 or into next year that you're able to continue to deliver that stable margin. Those are the 2 questions really related to the U.S..
Frans Muller: Thank you, Sreedhar. On the margin in the U.S., we already mentioned that 42 margin is indeed lower than last year. But we also shared with you that we have an insurance onetime release last year of 30 basis points, a string number of 20 basis points which are higher mainly to theft and a change in climate in the U.S. overall for the total retail and that those things give you already a very healthy margin with those 2 corrections. There's operationally nothing different than we talked about. There are no different things on prices or market shares. We already mentioned that we expect that we have market share gains in the key markets in the U.S., but we have not seen our Nielsen numbers. The second quarter market share numbers of Nielsen were even more positive than we thought. And then we anticipated. The teams are very well positioned. You know the brands the team under JJ Fleeman is doing a very good job. We have everybody together and super focused. We have Save For Our Customer program also in the U.S., but on top brought an Accelerate program, which is now going to come into fruition and to production to be able to reinvest in our brands. We have a customer value proposition, brand by brand, which is stronger and stronger. We have a supply chain, let's say, self-distributed at the East Coast. Where we had some hiccups during COVID, as you can imagine, not the ideal period to redo your supply chain. But we see also there that the shelf availability numbers are getting up. We also see that the costs are coming down and let's not forget we have super strong brands in those markets with very strong positions. And that's also a reason for a number of vendors and suppliers who come back to us and say, "Hey, how can we partner up " to get, to find those positive volumes. So nothing on prices and market share, then we talked in the last quarters. I think that SNAP sales number was a little bit disappointing to us that effect there. And we also gave you the full year group guidance of at least 4% where we kept that stable. And that means also that our U.S. business will also bring there a strong contribution next to an improving European business.
Sreedhar Mahamkali: I guess I was just trying to figure out if all the banners are seeing the SNAP impact and the student loan impact that you referred to in the release in a similar way I thought historically, Food Lion was more exposed and hence, has clearly been a very strong performance till now. Is that slowing down a bigger issue within the U.S. business or not necessarily?
Frans Muller: I would say, sure, don't overdo it. Yes, Food Lion has a higher Snap share compared to our friends of Hannaford because a very different demography. The 4% is total AD USA. It's a market phenomenon. It's a level playing field for all the players in those markets. It's a federal program. And I think you'll hear other colleagues in the business talking about these kind of things as well. So it's a market phenomenon. We are going to deal with this, and I would not attach more than that. I mean we reported today the Greenville, Wilmington markets for Food Lion, we talked about, hopefully, we can confirm to you the market share gains again for Food Lion. 11 years of comparable store sales growth. So there's not something fundamentally shifting in our performance compared to competitors or in market shares. That's not the case. And I think our investments we made in the last couple of years in omnichannel, in digital, in PRISM, in data, and therefore, also preparing ourselves for retail media income streams has only improved. So we did a lot of investments in the last years. And I think accelerate and save for our customers are things we should protect us also for times where we see a lower inflation and this should give us some protection to reinvest in our brands as we feel necessary.
Operator: Thank you. I will hand the call back for closing remarks.
JP O’Meara: So that concludes our call for today, ladies and gentlemen. And we look forward to seeing you on the road over the next couple of weeks. And if you have any questions that we couldn't get to today, please feel free to reach out to the IR team here at your disposal. Thank you very much.
Jolanda Poots-Bijl: Thank you very much.
Frans Muller: Thanks a lot. Bye-bye. Have a nice week, and some of you will see you tomorrow.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.